Operator: Welcome to the Q4 Identive Earnings Conference Call. My name is Angela, and I will be your operator for today’s call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference is being recorded. I will now turn the call over to Ms. Darby Dye. Darby, you may begin.
Darby Dye: Thank you. Hello, everyone and thank you for joining us. With me on the call today are Jason Hart, CEO of Identive and Brian Nelson, our CFO. In a moment, we will hear remarks from both of them and then we will take questions from our sell-side analysts and registered investors. Before we begin, please note that during this call, we will also be making reference to non-GAAP results or projections including our non-GAAP gross margin, operating expenses and adjusted EBITDA. A complete reconciliation between each of these non-GAAP measures and the most directly comparable GAAP financial measure is included in today’s press release which is available on our website at www.identiv.com. In addition, during our call today, we will be making forward-looking statements. Any statement that refers to expectations, projections or other characterizations of future events including financial projections and future market conditions is a forward-looking statement. Actual results may differ materially from those expressed in these forward-looking statements. For more information, please refer to the risk factors discussed in the documents we file from time-to-time with the SEC, including our annual report on Form 10-K for fiscal 2012 and our subsequent quarterly reports on Form 10-Q. Identive assumes no obligation to update these forward-looking statements which speak as of today. Now, it is my pleasure to turn the call over to Jason Hart.
Jason Hart: Simplified, focusing, growth this year. Welcome everyone. Thanks, Darby. I am joined today in California by our company's new CFO, Brian Nelson, Larry Midland, the company's President and other members of our hand-picked Identive leadership team. I want to thank them for joining me today. As we discussed on our last earnings call, Q4 was a transformative year for the company, or transformative quarter for the company as it positioned us to build a platform, so I wanted to spend a few minutes this afternoon and cover some of the highlights of that activity, also then cover a little bit of the forward strategy for the business. Then I will hand over to Brian, who is going to cover Q4 financial performance and give everyone the goodness on the numbers forward. To get going, understand where we are going, we have to understand where we have come from. We implemented a tactical simplification plan in Q4 to establish a single platform. We took 37 different legal entities, 18 different operating business, we took countless IT systems and disparate email products, we took more than 250 domains and points of presence, literally 50 different marketing brands that were [inaudible] this fraud or identity theft. And we took all of those and we developed a strategic plan and we mapped the activities and the assets that we wished to keep that matched that plan, I'm going to tell you a lot more about that plan today. Through this project that I categorize as simplification on the last earnings call, there were approximately 13 major activities from changing the focus of the business, so we are investing in sales and marketing, investing in our product and technology, so moving the corporate headquarters from Germany to the United States. As you have seen through many of the 8-Ks that were filed, we were pretty silent about what we were doing. As I said in the Q4 earnings call, that was deliberate. We were very focused internally on retransforming and building this platform. As we have come at the other end of that, I am pleased to say that we have completed the divestiture. We will shut down more than six major assets; we have taken our headcount from 460 people down to approximately 325. We have begun to get our operating expenses in control and Brian will talk more about that in just a moment. As we executed the tactical simplification plan, we also developed a long range value creation plan designed to align the company and our core competencies with delivering trust solutions. Trust solutions that are focused on this new connected world, a world where there are trillions of objects. I am pleased to say that earlier today, we launched the first public view of our market alignment at identive.com, marking the beginning of a broader launch of our new vision, a vision we internally called Trust Your World. It's important to understand that we believe we are at the beginning of a new world that is rapidly connecting, and while the Internet of Things terminology has mostly focused on things that are online, we believe that it extends to all things that may be connected or may have a microprocessor if only for split-second. Things like toys, consumables, medications, passports, ID cards and many of the other everyday items that you and your family may come in contact with, but this new connected world lacks some of the foundations of trust and that Identive is uniquely positioned with the assets that we kept that the investments that we are making to capture this segment of a rapidly evolving market and we’ve had some early wins, which I am pleased to report and you will see some of those wins in some of the categorization of our numbers. As we developed our strategic plan around this vision, it has allowed us to determine which of the 37 assets in the old Identive group supported the vision, the result was both a cash-driven tactical and growth-driven strategic focus to divest the assets, reduce the OpEx and align the company around this new Trust Your World vision. While the broad strokes of simplifications complete or we are in the middle of rolling them out, we have begun to turn our attention to growth and the value creating activities. So what is Identive now? We see Identive as a security company, a security company that establishes trust. Trust in the connected world of all things, including premises, information and even the everyday items I mentioned earlier such as medicines and toys, so broadly if you were to look at the new company, you would see that our technology focus is a priority, that being a Silicon Valley Californian company of about 325 people, with revenues that Brian will disclose to you in just a moment on an annual basis, with a goal of being EBITDA positive with approximately nine sales offices now across the world, two major global partners for delivery, almost 100 patents and patents pending and more than 5,000 customers and over 100 million licenses of product that had already being shipped. When you look at the people distribution of the new company, the bulk of the people are in the United States, with a consolidation of activities out of many [European] forward subsidiaries, with Asia becoming the second largest headcount by region of the company where most of their manufacturing is, as we look to become more efficient with our cost and accounts but we can do even better at leveraging what we have and in particular better at leveraging our strong customer base of more than 5,000 organizations. There's a lot of work that we have to do, but we are evolving, so you will see as one of the main priorities for the business over the next couple of quarters, the investment in sales and marketing. We have also begun to simplify our product alignment, making our products easy to sell and easy for customers to understand what Identive does, so we have broken our products from across the remaining entities into a single product group that is focused on three product areas, [building] by identity and credentials and it's where we have looked to lock the opportunities as we begin to take the product categories that we have and we look at the markets that we align to. The company in the past had focused on fragmented markets, some good growth markets and other areas that were distractions to us. We stopped those distractions and they are focusing on three global markets that [attract]. The first one is the employee ID market, which we believe is between $1 billion and $2 billion objects. This is a market that we play in very well today. The mobility market, we believe that by 2020, more than 80% of all information will be accessed through some type of mobile device and that that information requires some level of trust. Thirdly, the largest of all of the markets, the new market, the new opportunity for the company is the internet of everything, being able to connect and provide trust solutions to trillions of objects, so as we have looked at the technology and we analyzed what parts of the business to keep and where to invest, we rapidly realized that the technology that we used for our trusted government solutions over many years is also applicable to this new world, the new world where objects are connected and those objects require trust, so we have taken that product in those markets and we have developed three very simple solutions in this new vision and they are trust solutions for buildings, trust solutions for information and trust solutions for everyday items. Then it's going to - consolidated our sales organization and we have produced from the [silo] businesses would put all the SaaS people that created two sales leaders in the business that report directly to me. We have implemented a global CRM, so now we are able to improve our forecasting and pipeline across the entire company, and we have looked at and developed now a direct and indirect sales model, leveraging the 75 customer-facing people that we have, 300-plus resellers that have been loyal to the business for many years, our two major distributors, two new global service providers that we see helping the business and driving the business through 2014 and 2015 and a new (Inaudible). So, where we going, we think that this market and leveraging the technology that we have, will continue to grow quite rapidly and in a few moments after Brian has finished providing the numbers, I will give you some of the CAGAR for the particular areas that we are focused on. Fundamentally, we believe, that the PC market is only going to have modest growth, therefore as a business, we had to align ourselves with cloud and mobility and delivering what our core competency is which is trust. So with that teaser to the vision and some of the simplification activities that we are being focused on, I will hand over to Brian and then at the end of that, I will talk to you a little bit about some specific details of 2014. Brian.
Brian Nelson: Thank you, Jason. As Jason has just discussed, we made the decision during the fourth quarter to divest certain businesses that were non-core to our trust solution strategy. As a consequence, these businesses were accounted for as discontinued operations for the quarter. As such, the results we are reporting today for Q4 and our full year 2013, as well as comparable periods, will reflect our continuing operations. The businesses we divested consisted of regionally focused systems integration and customization services that did not fit strategically nor did it exhibit the capability to deliver the high growth potential. In our continuing operations, we are leveraging our existing product portfolio with a focus on cloud and mobile technologies to deliver trust solutions to the three primary markets that Jason spoke of. As a reminder, those are the trust solutions for premises, which include a readers, controllers and software products, trust solutions for information, which utilizes our smart card reader products and our cloud-based credential provisioning and management services, as well as our trust solutions for everyday items which utilize our credential products, including RFID and NFC, Tags and access cards. Beginning with Q1, we’ll report our revenue and gross margin results and new product segments that align with these market areas. Now looking at our financial results, revenues in Q4 were $19.9 million, a decrease of 6% from Q3 and 5% quarter-over-quarter. This was primarily due to the weaker sales of our premises solutions in the U.S. as a result of the October government shutdown and its impact on the budget and project cycles of our federal agency customers. We believe the budget challenges impacting our premises businesses are temporary and we are continuing to invest in new access control products and capabilities to address the emerging security standards and other market requirements for the U.S. government sector. Partially offsetting the weakness in our premises sales was continued strong demand for credentials, especially RFID tags to enable electronic game toys and increased volume of smart card reader products in North America, Asia and Japan. Both of these product categories deliver quarter-over-quarter growth in excess of 10% as well as sequential growth. Adding to the quarter-over-quarter growth was our cloud-based credential provisioning services. Our non-GAAP gross profit margin was 46% in Q4 compared with 49% in the previous quarter and 43% in the comparable quarter a year ago. The increase in the sales of our RFID products and associated higher manufacturing capacity utilization drove the year-over-year increase while our lower sales on the high margin premises products were responsible for the decrease from the immediately preceding quarter. We do expect our gross profit margins to continue to improve based on our focus on selling our higher value and higher security trust solutions and our focus on the higher margin premises business. In addition, our consolidation of global manufacturing facilities will lower our overall production related overhead and I'll speak more on that later. Looking now at our operating expenses, our non-GAAP operating expenses in Q4 were $8.7 million as compared with $9.4 million in the prior quarter and $8.2 million in the comparable quarter of 2012. Lower R&D expenses in Q4, primarily reflect a one-time $400,000 development tax credit. In 2014, we do expect R&D spending to remain relatively unchanged as a percentage of revenue as we continue to invest in the products and solutions to deliver trust to our customers globally. G&A expenses decreased due to cost reduction measures initially enacted in Q3, including a reduction in headcount and the use of external services in Q4. We expect to see G&A decrease as a percentage of revenue in 2014, as a result of those actions and actions we initiated in the fourth quarter of 2013, and the continued focus on cost reduction measures. These decreases in R&D and G&A were partially offset by increased investment in sales and marketing, program management and personnel. We expect to continue our focus on selling and marketing as we invest in a more robust sales and global marketing organization. Our non-GAAP operating expenses exclude charges for goodwill impairment as well as restructuring charges in both, Q4 and Q3 of 2013, in addition to several other items that we normally exclude from our non-GAAP results. I will touch on goodwill and restructuring in a few moments. Based on our activities, we reported positive adjusted EBITDA of $400,000 in Q4 compared with adjusted EBITDA of $1 million in Q3 and $900,000 in Q4 of 2012. Couple other items on the income statement, interest expense $600,000, slightly higher than in past quarters, but primarily due to additional non-cash interest charges associated with our debt facility. The goodwill impairment charge that mentioned before, $4.6 million in Q4, as a result of the completion of our impairment review which we began Q3 as related to our premises business. This charge is also non-cash. The restructuring charges in the quarter of $500,000 are primarily related to the severance for our former CFO and other employee related costs other cost reduction measures we initiated in Q4 have continued into Q1, including the centralization of our corporate accounting and marketing functions in the U.S., and the centralizing of our production in Singapore. We are in the process of closing our production facility in Germany, and we expect that these measures will begin to become impactful in mid-to-late Q2. Now, turning to the balance sheet, because of the discontinued operations, the balance sheet as reported for the quarter ended September 30, 2013 is not readily comparable with the balance sheet with the presentation of December 31. For the purposes of this call, I will use a pro forma balance sheet for continuing operations at September 30th that provides a deal into the relative changes between the two periods. The reported cash and cash equivalents at the end of the quarter December 31, were $5.5 million or $5.1 million as compared to a pro forma of approximately $6.8 million at September 30. The major uses of cash in the quarter include the service of financial and related party liabilities, which include the debt service and associated interest of approximately $1.5 million, working capital expansion of approximately $0.5 million and pay down of our accounts payable and certain other accrued expenses partially offset AR collections in the period. A note on the working capital, and working capital defined for purposes here is our inventory, plus our accounts receivable less the accounts payable. That number was $13 million at December 31, a decrease of approximately $700,000 at September 30th. This was partially due to the $1.9 million decrease in AR, offset by $1.2 million decrease in accounts payable. With respect to our accounts receivables, our days sales outstanding remained at 59 days in Q4 as it was in Q3. As for our inventories, our turnover remained $3.2 annually, with approximately $9.1 million net at each of the respective quarters. Some other noteworthy line items in the balance sheet are as follows. I addressed the goodwill of $4.6 million related to the impairment before announced as liabilities. Accounts payable, as I noted in our cash usage was paid down. This decreased from $10.5 million to $9.4 million at the quarter ended December 31st as the company strives to improve its days payable outstanding our liability to the related parties decreased from $6.9 million to $6.7 million, reflecting the payments made during the quarter. Our accrued compensation increased from $3.0 million to $3.4 million, primarily reflecting liabilities associated with former CFO, but partially offset by payments made during the period. Our other accrued expenses and liabilities remain fairly flat at $5.3 million compared to $5.4 million, last quarter. These amounts include restructuring charges, professional fees as well as accrued expenses associated with the vested entities. Our long-term financial liabilities decreased by approximately $1 million from $4.1 million at the end of the quarter September 20, 2013 to $3.1 million at the end of the quarter December 31. This primarily reflects the principal payments to our lending institution. On a reported and actual basis, the divestiture of our non-core businesses resulted in a reduction of our liabilities of approximately $12 million. With regard to our cash position, we are actively engaged in seeking a commercial lending facility to strengthen our balance sheet and support our growth strategy. With regards to guidance going forward, the company is providing guidance for fiscal 2014 of revenue between $80 million and $90 million and adjusted EBITDA positive on an annual basis. That concludes my prepared remarks, and I will pass the call back to Jason.
Jason Hart: Thanks, Brian. Well, I think it's fair to say there has been a tremendous amount of work going on here and I am sure everyone on the call and certainly people in this room have been doing. As we look to 2014, I would like to give you some as to what we are doing and where we are going. I have outlined the new vision and from the top down, we have realigned the company around that vision. We are now complete in all areas and there is a roadmap and plan to continue the rollout, all of the broad, rush, strokes achieve that have occurred. As Brian mentioned, we do see cash as a priority for the business. Certainly, as our working and our predicted growth is increasing as we now have more visibility to our forward pipeline. We are getting a lot more comfort around the need for the working capital. As I indicated on the last earnings call, we had gone to market looking for commercial financing. We will continue to rollout the new strategy, and one thing that's important in any integration of companies, is the development of a single culture, and at all levels of the business with hand-picked and either board people in all promoted from within to help develop that culture. Recall it, our [culture] and it's a very sales-led customer-focused, revenue-driven culture. We continue to invest in our technologies through 2014. You will see certainly over the course of the year as the year unfolds that our expenses in our technology will be diverted from SG&A, so we are putting the money I believe I believe in the right areas, sales and marketing to sell the things that we have and technology, because we believe we have some foundational patents and technology and some excellent customers that will help drive us and create a new leadership position for us in this trust, the internet of all things. We will continue to complete the integration of the underlying and we are moving to single systems. One of the challenges for us in this business has been timely information and being able to use that at a management level, and we have identified that as a risk, but under Brian's leadership we've already begun our project to consolidate those systems and provide our managers much more timely information. OpEx, we cannot take our eye of OpEx. We have done a lot of these to get the OpEx down and the new architecture of the business supports a streamlined OpEx, where you see cost coming in SG&A, so Brian will - if you were any of our management calls, Brian is pumping his fists and we will not out on OpEx. We have an objective and we will be EBITDA positive this year. We of course are going to reactivate much of the investor relations activities that we turned off, like last year, and we did that because our focus was internal and our focus was to deal with the OpEx, so progressively, selectively, we will be coming to Street, and telling the Street more about the vision and our alignment with the market, but we tend to do it in a very customer-led way, leveraging our proof points as we begun to win new accounts and new opportunities. We will of course continue to leverage those strategic brands as we get closer to our customers giving us permission to be able to publicly announce some of the many wins that we had that we think are very exciting, but unfortunately we are unable to disclose. That, of course, amongst all of the general management activities makes 2014 an incredibly busy year for us operationally. Let me tell you a little bit about why I get excited in the morning. Market size in this company is incredible. For the first time in my career, I can see a business that is at the right place, at the right time, with the right technology and now with the right people. We are seeing CAGAR in our premises business being relatively slow. It's between 8% and 9%. We are CAGAR in our information products, growing substantially at 17% and we are seeing CAGAR in the market in general in everyday items as the largest potential at 38%, so will continue to focus our areas of investment in these markets, ruthlessly cutting off product or technology that doesn't align with these three areas. As we look at the opportunity in terms of, one - today, we consider ourselves to be in a crowded market in some of the individual segments, premises is pretty crowded, information has its players, Everyday items is new. As we have made our investments, we are investing in our physical access and information technology to continue to provide a financial base to be able to piggyback to pivot us into the internet of things with everyday items. As I mentioned earlier on the call, the technology and the parts that we use that are first are directly applicable to the everyday items market, so we are in a pretty strong position this year 2014. To summarize 2014, there has been in my opinion an incredibly positive transformation to create a single Identive platform, with a single leadership, with a single product focus, with a single view to our global customers. By leveraging the position that we have to grow, these are the internet of things, we believe that vision, our trust your world vision is revolutionary in many areas, but it's one that we are capable of executing on the assets that we have retained. One proven team, one set of resources to accomplish our mission. With that, I would like to open up the call to questions. I'll turn it back over to Darby. Again, just in advance I appreciate many of you actually sending your questions electronically over the last few days and we'll be shortly getting to them. Darby?
Darby Dye: Yes. Operator, please poll for questions. Thank you.
Operator: Thank you. We will now begin the question and answer session. (Operator Instructions) Our first question is from Bryan Prohm from Cowen & Company. Please go ahead.
Bryan Prohm - Cowen & Company: Good afternoon, Jason, Brian, Darby. How are you guys?
Jason Hart: Doing well. Thank you.
Bryan Prohm - Cowen & Company: All right. I have a lot of questions, in no particular order. I mean, this is a complicated turnaround story. I totally get that and I understand that simplification may not be as simple and straightforward as it might seem, so you cited, Jason, 13 major activities or steps in the simplification process. Are we done with all 13 now, or there are still more here to go here?
Jason Hart: We are done with the bulk of them. We reported to our Board a few weeks back that we have completed all but two of them. Two of them are ongoing. One of them I just mentioned, which is the system integration. One of the areas for the management has been how do you consolidate 11 different accounting systems, how do you bring together processes and expense control? The first thing we did of course is get control of the check book, but we are not complete but we are at a macro level; we have completed all of the major tasks except for the full integration of the underlying accounting systems makes Brian show pretty tough. He is rolling his eyes at me.
Bryan Prohm - Cowen & Company: He is smiling too. I am sure. Okay, so the next phase then is the focus phase and it's a much cleaner messaging around the market segments, trust solutions for premises, trust solutions for information, trust solutions for everyday. It sounds like the premises business is still pretty heavily leveraged to governments, both in the U.S. and maybe in Europe too? Is that fair?
Jason Hart: Yes. It isn't. We saw the weakness in it started with sequestering. It started with what was followed on then by de-focusing sales and marketing activities here and what we've done in Q4 to arrest that is open the DC office with rehiring sales people with experience back into Washington; it is where the largest portion of our premises business is. With have some unique technology in that space and I am pretty - I am quietly confident that as the government begins to relax on some of the budget constraints, we will begin to see that our business improved. As a pilot, I was very pleased to see that the Navy got the blue angels back in the air and if they are going to spend money on blue angles, hopefully, we can spend some money in premises.
Bryan Prohm - Cowen & Company: That's good. Is it fair to characterize that you are comfortable with the company's [store] [ph] silos are now sufficiently broken down and you're in the way to having a true single sales organization that can cross-sell premises information every day.
Jason Hart: Bryan, I wish you could be in this room, you would see executives and staff from the different parts of the business, all wearing the same logo - and it's always going to be a challenge. We have always got some habits inside the company at being one quarter. We certainly can take this up again next year, but I am just thrilled really with the way the team has come together and embraced the single message. I think everyone internally saw the need to have a simpler architecture of the company and a simpler message.
Bryan Prohm - Cowen & Company: Okay. Let me then move onto - the premises business, it seems like the most gross margin leverage lies there as the government business returns over the course of the year, but the real volume driver, the real top line driver ultimately is this everyday business, which is where a lot of the gaming or all the gaming RFID tags came in last year. Is that…
Jason Hart: That is…
Bryan Prohm - Cowen & Company: 100 million tags last year, I am trying to reconcile maybe the everyday market TAM that you cited, the 38% growth rates or maybe that's CAGR actually, are we looking at a similar or maybe the best way to - all right, let's ask this question then, what does the backlog currently look like segment-by-segment, by premises, by information, by everyday, and in total.
Brian Nelson: Yes. Thanks for the question, Bryan. We not ready to provide that level of detail based on the new segmentation. We will roll that out and it will be available in our Q1 discussions.
Bryan Prohm - Cowen & Company: Okay. Is there more of a general feel for the strength then of the everyday market based on your current customer profile in the gaming space? I mean, was 2013 was an anomaly and it's going to be difficult to?
Brian Nelson: No.
Jason Hart: Not at all.
Bryan Prohm - Cowen & Company: That's all right.
Brian Nelson: Exactly. Not all. Matter of fact, we are seeing very strong commitments from customers that were existing in 2013 and potential for like customers in 2014, so we expect some significant growth in that area.
Jason Hart: Yes. Bryan, what I have enjoyed in this new structure is, some of the elasticity. We sold some of the decline in the premises piece of business through 2013, for the reasons that we outlined, but we saw sold strong growth in our new market. Obviously, we did everyday items. We believe that the tam for that according to governor for 2020 is about $300 billion, so we are only at the very beginning of that market and I think that projects that we are seeing roll out so far rudimentary. And as trust is being put into objects, the need to - as those objects is coming online, there is a need for f fundamental trust and trust by its nature is complex. We have been able to deliver a solution now in that sector that simplifies that trust and we will talk more about that as we roll that through the course of the year, but we are pretty excited about some of the patents we have got, some of the technology, integration of cloud, our manufacturing capability in some of the legacy RFID.
Bryan Prohm - Cowen & Company: Okay.
Brian Nelson: It's an area of drugs. You can look that up to...
Bryan Prohm - Cowen & Company: I have a subscription. I'll check it out. All right, so on OpEx, it sound you are guiding R&D roughly flat, sales and marketing sounds like it's going to increase as an investment G&A is where the cost can be taken out of the business. What's the right run rate? Are we there? Is the 4Q run rate something where this is more potential cost that can be taken out. I am trying to figure what's the breakeven number that the model put out based on the top line growth and your goal for positive EBITDA at some point over the course of the year.
Brian Nelson: Bryan, remember there was an anomaly in the R&D expense for Q4 with the tax credit, so if we normalize it, you are getting in the area of 7 percentage of revenue. We expect that to be 7% to 8% on an annualized basis, so we will increase from a dollar standpoint as well as moderately on a percentage of revenue. The sales and marketing was approximately 23% for the quarter. We are looking to see that increase slightly as well as we continue to invest in the sales and marketing organization. You are right. The G&A is where we really look to achieve the savings to invest in those other areas, so that we can get to the high growth that we are looking for or the reasonable I should say to profitability.
Bryan Prohm - Cowen & Company: All right, two quick questions. Then I will pass onto someone else. About the growth rate overall, because you are guiding your growth rate of somewhere in the 10% to 15% range for continuing operations, do you have sense of kind of how does that breakout between premises information every day is one likely to be more meaningful. I mean, given the CAGARs you would think every day is much more meaningful opportunity, but can you comment on that given what you said about the backlog?
Brian Nelson: Yes. Thanks again, Bryan, for the question. I think the critical part here is the focus strategy and a cross-selling. We have an opportunity in each of the areas to bolster the foundation. I do believe we have significant opportunity in the credential area. We talked earlier about where we might get some higher-margin business that credential on the provisioning aspect of it contributed can contribute. We talked about the premises business being somewhat weaker in Q4 based on the government structure, we are looking for some recovery in that, but that's not driving the high-growth or the significant growth.
Bryan Prohm - Cowen & Company: Got it. Then finally, any outlook on cash at the end of 1Q? Any guidance?
Brian Nelson: Not at this time.
Bryan Prohm - Cowen & Company: All right. Thanks for the time guys. Good luck. I'll talk to you soon.
Brian Nelson: Thanks, Bryan.
Jason Hart: Appreciate it, so I have a couple of more written. I won't disclose the names, because I don't have specific permission what our current is to raise cash. I think at this stage we have already indicated that. We are looking for and have begun activities for traditional commercial financing, the first time I think we have been able to do that now with the new strategy and some of the demonstrated activities that have recurred. Focused growth, what are markets we are focused on? I think, we have covered that. Profitability in 2014, I think we talked about the adjusted EBITDA positivity is our goal. Messaging to our investments, wanting to hear more about what we are doing. I think that's an important topic to cover for just a moment or two. As I said earlier, we have focused internally to build the platform that has taken all of our energy to do that. There was no point coming out to the market with press release about activities. We felt it would set the wrong - moving into CS talking more with some of the investor events. You won't see us beginning to announce some of the activities and partnerships, but meaningful news. Do not expect to see a press release every week or every two days unless you want, but when we do put the press releases out, they will have some very meaningful outcome for us and shareholders. I think they were the main questions. Darby, do you have any other questions on the line?
Darby Dye: Not at this time.
Jason Hart: Great. Excellent. I want to thank everyone here in this room and all [holders] for their support over the last quarter. We look forward to getting back with an update on where we are for 2014. Thanks.
Operator: Thank you.
Darby Dye: Bye.